Operator: Good morning, ladies and gentlemen, and welcome to the CAPREIT Second Quarter 2014 Results Conference Call. Please be advised that this call is being recorded. I would now like to turn the meeting over to Mr. David Mills. Please go ahead, Mr. Mills.
David M. Williams: Thank you. Before we begin, let me remind everyone that the following discussion may include comments that constitute forward-looking statements about expected future events and the financial and operating results of CAPREIT. Our actual results may differ materially from these forward-looking statements, as such statements are subject to certain risks and uncertainties. Discussions concerning these risk factors, the forward-looking statements, and the factors and assumptions on which they are based can be found in CAPREIT’s regulatory filings, including its Annual Information Form and MD&A, which can be obtained at sedar.com. I’ll turn things over to Mr. Tom Schwartz, President and CEO.
Thomas Schwartz: Thanks, David. Good morning, everybody and thank you for joining us today. With me this morning is Scott Cryer, our CFO. As Scott will shortly outline, we generated another period of strong results in the second quarter and we are confident we will see another record year for CAPREIT in 2014. As you can see on Slide 3, our portfolio growth and the continuing success of our property management programs generated a solid 8.1% increase in operating revenues through the first six months of the year, generating a 10.7% increase in NOI and a solid increase in our NOI margin. Most importantly, same property NOI was up a very strong 5.4% through the six months ended June 30, 2014 and 5.4% in the second quarter. Our normalized fund from operations rose 14.3% and once again our growth was accretive as NFFO per unit was up 5% to $0.826 per unit, despite the 9% increase in our units outstanding. With this strong performance, our NFFO payout ratio also strengthened to 71.7% from 73.2% last year. Our track record of strong same property growth has continued in 2014, as you can see on Slide 4. With the 3.2% increase in revenues for the six months ended, June 30, and only a 0.3% increase in operating costs, we generated a very solid 5.4% increase in same property NOI. For the second quarter of 2014, same property NOI growth was also 5.4%. We believe same property NOI will continue to grow for the foreseeable future. Slide 5 shows that we are continuing to capitalize on strong rental markets. Overall, average monthly rents were up in our residential suite portfolio with occupancy remaining very, very strong at 98.4%. As we have stated before, rents in our MHC portfolio were impacted by acquisitions made in lower rent markets during the fourth quarter of last year but also continued to increase on a same-store basis. Looking ahead, demand remains strong in all of our markets. We see occupancies remaining stable at these nearly full levels and we believe average monthly rents will continue to increase over time. Slide 6 details how average rents are performing on suite turnover and lease renewals. As you can see, we continue to generate solid growth in average monthly rents although at a slightly lower pace than last year, due to the lower 2014 rent guidelines in Ontario and British Columbia. Our strategy towards increased portfolio diversification helped mitigate the lower guideline increases as you can see in the table above. One of the key reasons for our rental rate growth is our ongoing successful application for above guideline increases in Ontario for properties where we have invested in capital improvements or where we are experiencing certain increased costs. As you can, despite the low guidelines, we will still average around 2% rental growth. Looking ahead, the rent increased guideline has been set a higher level, 1.6% in Ontario for 2015 compared to only 0.8% this year and this will drive a much stronger top line. With our strong results and our highly positive outlook on the future, we are very pleased to implement a 2.6% increase in monthly cash distributions in June to $1.18 per unit on an annualized basis. This is our 11th increase over the last 17 years as a REIT. I’m now going to turn things over to Scott to review our results for the quarter and the six-month period.
Scott Cryer: Thanks, Tom. As you can see on Slide 9, our second quarter results benefited once again from our portfolio growth and our continuing track record of increases in average monthly rents and consistently high occupancies. Revenues were up 6.6% in the quarter and as a result of our proven operating programs, NOI rose an even higher 9.3% compared to last year. NFFO rose significantly in the quarter by 10.6% primarily due to contributions from acquisitions, increased average monthly rents and high stable occupancies. And NFFO per unit increased by 1.4% for the second quarter compared to the same period last year, despite the 9% increase in weighted average number of units and the reduced leverage. Slide 10 details our performance to the first six months of 2014 with operating revenues up 8.1%, NOI rising 10.7% compared to last year. Our NOI margin also strengthened to 59.3% from 57.9% through the first six months of last year. These increases were despite the impact of increased utility costs resulting from the historically cold weather we experienced in the first quarter. As you can see, our growth was accretive as NFFO per unit was up 5% despite the almost 9% increase in units outstanding. The increase resulted from organic revenue growth driven by higher average monthly rents, maintaining high occupancies and cost management through a proven operating program. Turning to our balance sheet on Slide 11. You can see we continued to maintain a strong and flexible financial position. Coverage ratios remained very strong with interest coverage continuing to exceed 2.5 times and improved debt service ratio well within our guidelines. It is also important to note that we have approximately 218 million of our properties not encumbered by mortgages and used only to secure our acquisition and operating facility. Our weighted average interest rate declined further at quarter end and we continue to focus on extending our debt maturities using primarily 10-year term mortgage debt while more recently attempting to balance our maturity profile with the use of both five and 15-year money both at attractive rates. Looking ahead, we expect to complete the renewal of approximately 72 million in mortgages for the remainder of this year. As of today, we have completed or committed 522 million of our total mortgage renewals and refinancings of our target of 600 million to 650 million for 2014. Turning to Slide 12. Our mortgage maturity profile remains very conservative and well balanced as we continue to focus on extending our debt maturities in this low rate environment. With maturity between 2015 and 2020 representing a smaller portion of the portfolio in the next 10 years, we believe we have a good balance between top-up liquidity and reduced sensitivity to rising interest rates. In addition, with 97% of our mortgages being CMHC insured, we have a large and diverse group of lenders willing to work with us at rates below conventional financing. On the liquidity front, as detailed on Slide 13, we remain very well positioned to continue our growth programs. Our liquidity position stands at approximately 156 million at quarter end, providing continued long-term liquidity and the resources for future acquisitions of approximately 520 million while still maintaining a conservative debt ratio. As of today, our liquidity position stands at approximately 220 million. Strong top-up potential estimated at 250 million for 2014 has and will continue to provide sufficient liquidity and allow us to fund our CapEx programs. As I mentioned earlier, we will still have approximately 150 million in unencumbered properties after encumbering to our targeted levels that could be tapped for future growth initiative at the appropriate time. Thanks for your time. I’ll now turn things back to Tom to wrap up.
Thomas Schwartz: Thanks, Scott. Looking ahead and given our record performance through the first six months of the year, we are confident 2014 will be another great year for CAPREIT. First, the growth in our portfolio over the last few years is having a very positive impact on our performance and we will opportunistically acquire strategic properties if the price is right and if they are immediately accretive to our NFFO. Subsequent to the end of the quarter, we announced the acquisition of 213 apartment suites in Prince Edward Island where we have existing management capacity. We are being extremely selective in future acquisitions this year. I believe we will acquire between 500 and 1,000 units this year, but it will be the right acquisitions to enhance our current portfolio. Property revenues will also continue to benefit from our near-full occupancy levels and consistent increases in our average monthly rents. And our NOI margins remained strong, particularly as we realized the benefits of our state-of-the-art purchasing and energy management programs at all of our properties. An important potential in new and new avenue for growth for CAPREIT is the development of new apartment properties. We could partner with mixed-use developers to combine our expertise to develop new mixed-use properties. Many of you have been on property tours where we have some commercial and retail space in our buildings and the combination can work extremely well. In addition, a number of our assets have sufficient excess land on which we could develop new apartment buildings. This plan is in an early stage but we are currently investigating zoning potential with a few of our properties to determine the feasibility of such projects. We will keep you posted on this aspect of our growth strategy as it unfolds. In conclusion, we believe CAPREIT faces a very exciting future. We have proven our ability to capitalize on continuing strong fundamentals in the Canadian apartment business through all economic cycles. We believe we have one of the strongest balance sheets in the business and fiscal prudence will remain a key priority of CAPREIT. We are very confident in our team and we have the right people and the right positions to manage our growth for years to come. Speaking of our team, we have worked very hard to build an engaged and happy group of employees at CAPREIT and in 2013, we are very proud to be named one of Canada’s top 50 employers by Aon Hewitt. Also, CAPREIT was named in the top 20 employers in Quebec. Finally, we have demonstrated that our business strategy is working and we will continue to build on the solid performance generated over the last 17 years. The main message once again today is that we are still very confident in our future and we look forward to sharing our results with you in the coming quarters. Thanks again, and Scott and I will now be pleased to answer any questions you may have.
Operator: Thank you. (Operator Instructions). Our first question is from Alex Avery from CIBC. Please go ahead. Mr. Avery, your line is open. You may proceed with your questions.
Alex Avery - CIBC World Markets, Inc.: Can you hear me?
Thomas Schwartz: I can hear you.
Alex Avery - CIBC World Markets, Inc.: Okay. Tom, in your introduction you highlighted that you think CAPREIT will probably acquire between 500 and 1,000 apartments this year. That’s down from your historical levels of acquisition activity. Can you just, I guess, comment on how much of that I guess changed target is market conditions versus a shift in strategy for CAPREIT?
Thomas Schwartz: It’s not a shift in strategy at all, Alex. It’s a reflection of market conditions. The deals that we see going down are going down in prices and cap rates that we just wouldn’t pay. So we’re bidding, we’re watching but again we won’t pay the price in the some of the markets. On the other hand, we’re working on a couple of very interesting strategic acquisitions. We announced Price Edward Island after the quarter. That’s a new market for us. It’s not going to be a big market but we did set an operation up in Prince Edward Island. We had capacity and we’re able to buy another 213 suites to fill that capacity. So what I see for the balance of the year is some one-off assets; one here, one there but very, very strategic and certainly immediately accretive to NFFO and that’s my view. So I did reduce the target for the first time and as we’ve said for many, many years, we’re not going to buy for the sake of buying. We’re going to buy what makes sense. We’ve had an incredible couple of years of acquisitions. Obviously if prices go up and cap rates go down, our current acquisitions that we’ve made in the past couple of years will look even better and that’s where we’re sitting today.
Alex Avery - CIBC World Markets, Inc.: Okay. And then just turning to the repairs and maintenance. Last quarter you highlighted that you’re expecting to come in around somewhere like $800 to $850 a suite versus $1,100 last year. Can you just I guess comment on how you see that shaping up? Do you think you’re going to come in that range?
Thomas Schwartz: We’re today running a little bit below that and I’m highly confident we will meet that target or exceed it.
Alex Avery - CIBC World Markets, Inc.: Okay. And then just lastly on the turnover and renewal, it sounded like you’re pretty confident that leasing spreads between the two that you’re expecting to come in that 2% range?
Thomas Schwartz: Yes. I mean you and I have been speaking over the years, I’ve always said that’s our model. We’ll get our 2% one way or the other. Sometimes you have to work harder for it. This year we’re pushing through those AGIs, we’re getting them and we will get there. Next year they’re giving better guidelines, so between that guideline and the natural turnover that takes place we’ll exceed it.
Alex Avery - CIBC World Markets, Inc.: Okay. That sounds great. Thank you guys.
Thomas Schwartz: Thanks, Alex.
Operator: Thank you. A following question is from Jonathan Kelcher from TD Securities. Please go ahead.
Jonathan Kelcher - TD Securities: Thanks. Good morning.
Thomas Schwartz: Good morning, Jonathan.
Jonathan Kelcher - TD Securities: Just on the development slide that you put out there, the developments on your own land, would you be talking high-rise concrete?
Thomas Schwartz: In most cases, yes.
Jonathan Kelcher - TD Securities: What types of return would you target there before you – like what would you need to see in terms of underwriting before you give a green light to it?
Thomas Schwartz: That’s an interesting question because we’re sitting in a lot of meetings on this and let’s remember with development, there’s always slippage and you’ve got to have a good contingency because there’s going to be surprises. So I’m very comfortable targeting what I’ll call an unlevered cap rate in the mid-5s, the high-5s knowing that when I actually build it, it will be a little bit less than that.
Jonathan Kelcher - TD Securities: Okay. Now is that something you guys would develop yourself or would you partner with somebody or how does that work?
Thomas Schwartz: We’re seeing three different kinds of projects. Certainly, we have a fair bit of excess land. We’ve inventoried it, we’ve inventoried the zoning and we’re in discussions with certain municipalities. So we’re certainly capable of developing those properties ourselves. We’re having many developers come to us offering us joint ventures both on purpose-built rental and on mixed-use projects and we’re looking at those on a selective basis.
Jonathan Kelcher - TD Securities: Okay. Thanks. I’ll turn it back.
Thomas Schwartz: Thanks, Jonathan.
Operator: Thank you. A following question is from Mario Saric from Scotiabank. Please go ahead.
Mario Saric - Scotiabank: Hi. Good morning.
Thomas Schwartz: Hi, Mario.
Mario Saric - Scotiabank: Maybe just sticking to the development team, Tom, you mentioned that you kind of looked throughout the portfolio in terms of excess plan. Maybe a bit too early but can you give us a sense as to what that could translate to in terms of number of suites? Number one. And then number two, what municipalities you see potential in?
Thomas Schwartz: The first question, it’s a little too early. I mean we’ve got a lot of land. Most of it, Mario, today the numbers still won’t work. So, for example, in some of our affordable portfolio, I can assure you I can’t make the numbers work on a new affordable rental building. So it’s more likely going to be at the higher end of our portfolio. As I said earlier, it will be poured concrete and that’s the nature of it. I’m sorry, I forget your second question.
Mario Saric - Scotiabank: With respect to geographic location, presumably a lot of it was in Toronto but --
Thomas Schwartz: Toronto and Vancouver where we think the numbers work the best right now. And again, were talking about the high end of the market in both of those locations.
Mario Saric - Scotiabank: Okay. And then just on the acquisition side, you mentioned that cap rates are very low, buildings are expensive and where you have interest rates moving higher. But what do you think it is in terms of a catalyst to normalize cap rates or maybe take them up a little bit in order of acquisition opportunities to become more attractive?
Thomas Schwartz: I think it’s driven primarily by the fact there’s a lot of capital chasing apartments, a lot of it is private capital. People are using shorter term funding. I’m not sure they’re looking at the CapEx in quite the same way we do. And again, at this point, I’m just not comfortable making the deals that are being made out there. Markets’ change, we’ve seen markets go up, we’ve seen markets go down. We’ve been here before. A couple of years ago there was a year where we made no acquisitions. I sat here and said, I’m just not comfortable with what I see and it changed and we made a lot of acquisitions. It will change again.
Mario Saric - Scotiabank: I know historically you’ve been a pretty opportunistic capital allocator given parties are perhaps becoming more aggressive on CapEx assumptions and going shorter term on debt. Has those historically been conditions where maybe it makes more sense to sell off of?
Thomas Schwartz: We’ve looked at that. I mean in past years we have sold significant assets. We look at our portfolio every quarter for potential dispositions. I don’t see anything major. I mean there could be a couple of small ones but we’re pretty comfortable where the portfolio is now. We think we’ve got a very well balanced portfolio. I mean there are certain markets where I’d like a little bit more, but we don’t have anything compelling sitting in our portfolio that we feel we have to sell. And again, we’ve got tremendous operating synergies. You’re seeing our margins, what’s going on, that’s because of the synergies within the portfolio is well balanced and there is no reason to change that.
Mario Saric - Scotiabank: Okay. And then just maybe a couple of quick questions on the operational side. Margins are up 140 basis points year-over-year in the first half of the year. How much do you have left in your tool kit to realize not necessarily maybe that type of margin expansion in 2015 but how much further upside?
Thomas Schwartz: Every time we sit here like this, we think how much more can you squeeze out of it and we find ways to continue to do it. So we still have lots of initiatives going on and we only do these initiatives when they hit the bottom line. So we think it will continue to get better. I certainly can’t give you numbers here.
Mario Saric - Scotiabank: Okay. And then in terms of the AGIs, they slowed down a little bit quarter-over-quarter. When we think about 2015 and the doubling of the rent control in Ontario, in terms of the rent growth, should we think about that 2% really being maybe a slowdown in the AGIs because you’re getting the 1.6% next year or…?
Thomas Schwartz: Yes. I mean the AGI certainly slow down. The AGIs move directly proportional to rent control guideline. In a high year, we have very few and in a low year, we have a lot.
Mario Saric - Scotiabank: Okay. Thank you.
Thomas Schwartz: Thanks.
Operator: Thank you. Our next question is from Heather Kirk from BMO Capital Markets. Please go ahead.
Heather Kirk - BMO Capital Markets: Good morning. In your disclosure, you seem to mention diversification a lot in the context of your acquisition strategy, and I’m just wondering if you could expand on that? What are you trying to get in terms of increased geographic diversification and what markets you might be targeting?
Thomas Schwartz: We would certainly like more in the west. We’re looking very closely at all of the western markets again, where we’re underrepresented, so that’s the primary thrust. As I said, PEI wasn’t on our radar screen a couple of years ago. We bought a great portfolio there of MHC properties that happen to have a couple of 100 apartments attached, so we were there; we said, you know what, it’s a market, it’s never going to be a big market but we had capacity, so we added another 200 units in PEI recently.
Heather Kirk - BMO Capital Markets: But primarily --
Thomas Schwartz: But Heather we’re also opportunistic. When an incredible deal came up in Ontario, we would be all over it.
Heather Kirk - BMO Capital Markets: And so would that be restricted to Canada only or would you go as you did with the Island acquisition into the states you’re out for.
Thomas Schwartz: No. CAPREIT’s a pure play Canadian REIT. I mean we did do the Irish opportunity and again, as we promised we would we spun it our very quickly for the benefit of CAPREIT’s shareholders. At this point we’re not looking beyond Canada.
Heather Kirk - BMO Capital Markets: And so in terms of the Island spinout, can you give us a sense of the fee forecast? I know it’s a function of redeployment capital and I think they did do some acquisitions, but what’s the expectation in terms of time line to getting that capital deployed?
Scott Cryer: We’ve deployed half of the capital to-date and that we’re highly confident we will have the balance of the capital deployed before the end of the year.
Heather Kirk - BMO Capital Markets: And just one question on the balance sheet. You mentioned that the unencumbered asset pool would go down to about 150 million and I know that that’s been sort of a – a number of that for some other REITs has been rising and it’s been a focus maybe partially because of unsecured debentures, but I’m just wondering what you are targeting in terms of unencumbered assets as a general sort of percentage of the portfolio?
Scott Cryer: Yes, we’re looking to keep it at 150 in the short term, so we think we’ll be – we figure we’d be there by the end of this year or early next year to bring it down to that level which is kind of a level which has allowed us to have significant cost savings on our line of credit in the short term and then obviously allows for liquidity in times of strategic acquisitions or liquidity needs. So we’re moving it down to 130 million to 150 million.
Heather Kirk - BMO Capital Markets: Okay. Thank you.
Thomas Schwartz: Thanks, Heather.
Operator: Thank you. (Operator Instructions). Our next question is from Jimmy Shan from GMP Securities. Please go ahead.
Jimmy Khing Shan - GMP Securities LP: Yes. Thanks. On the development front, I think Tom you’ve always said that it’s really tough to make the math work. I just wonder sort of what’s changed now? Is it that the rents in the high end of the market have gone up a lot or is it that the return threshold is lower given what CapEx rates? Just kind of wonder your insights on that.
Thomas Schwartz: Certainly, it’s primarily driven by a stronger potential top line and I think that’s where it comes from. Construction costs are relatively stable. We hope they’re going to go down. They haven’t but that would be helpful and also where interest rates are today. So I think it’s that combination.
Jimmy Khing Shan - GMP Securities LP: Okay. And what about return threshold, like would you in terms of what you’d be willing to develop today versus before?
Thomas Schwartz: Pretty much the same. I said earlier we would pro forma 5.5 to the high 5s. Again, interest rates have been at these levels for a couple of years, so we’re very comfortable there. That’s a tough target. That doesn’t just fall out of the pro forma. I mean that will take work to get there.
Jimmy Khing Shan - GMP Securities LP: Okay. And then how many assets are you investigating?
Scott Cryer: Well, a lot because we’re – and remember we have three sources, so our own assets. We have a pretty good understanding of and I said earlier we’re certainly looking at some of our high end properties in Toronto and Vancouver that work. We’re being approached by a number of developers, primarily residential developers who want to do a joint venture on a rental and we have some of the mixed use developers coming in here wanting us to partner on the residential component in some of the larger mixed use projects. So, we’ve got quite a bit to look at. The challenge is making the numbers work.
Jimmy Khing Shan - GMP Securities LP: Right. Okay. And then just wanted to clarify a comment you made earlier. You said you’re going to exceed the R&M target. Did you mean that you’re going to hit more than 850 or did you mean you’re going to be a little more than that?
Thomas Schwartz: It’s not going to go over 850, it will probably go slightly below.
Jimmy Khing Shan - GMP Securities LP: Okay. So when you said exceed, you meant actually lower.
Thomas Schwartz: Going in the right way not the wrong way.
Jimmy Khing Shan - GMP Securities LP: Okay, all right.
Thomas Schwartz: A positive variance.
Jimmy Khing Shan - GMP Securities LP: Okay. Thanks, Tom.
Thomas Schwartz: Okay.
Operator: Thank you. Our following question is from Matt Kornack from NBF. Please go ahead.
Matt Kornack - National Bank Financial: Good morning, guys. Just a quick follow-up question on what Heather had mentioned with respect to IRS, probably more Scott’s department. But did you have some of it in NOI this quarter and then the rest is just the fee income? And should we see going forward some sort of FFO contribution from that REIT coming through the line item in your FFO calc?
Scott Cryer: Yes. So where it is right now is really – it’s in our other income. I tried to breakdown our other income this quarter just to separate kind of more non-reoccurring versus reoccurring with AMC still having an impact in prior quarters and IRS coming on line. And we have our offset expenses, there are some in our trust expenses. So it’s not a significant contribution right now but as Tom was speaking, the growth in the underlying IRS through deploying the capital is what’s really going to make it accretive to us and start hitting our NFFO in a positive way.
Matt Kornack - National Bank Financial: Sure. And just for this quarter, I assume that it would have been slightly more beneficial to have had the full NOI come in, but going forward obviously there’s more upside in the new entity?
Scott Cryer: Yes. That’s absolutely correct. The loss of the direct 100% owned, we effectively diluted the – the capital we had out wasn’t producing as much because of the dilution but we’re starting to make it up in the asset management and property management fees.
Matt Kornack - National Bank Financial: Okay, great. Thanks.
Operator: Thank you. (Operator Instructions). We have no further questions registered at this time. I would now like to turn the meeting back over to Mr. Schwartz.
Thomas Schwartz: Okay. Thank you very much. I want to thank everybody for your continued interest in CAPREIT, and as always if you have any questions give Scott or I a call. Thank you very much.